Company Representatives: Carlos Brito - Chief Executive Officer Fernando Tennenbaum - Chief Financial Officer
Operator: Welcome to the Anheuser-Busch InBev, First Quarter 2021 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors Tab and the Reports and Results Center page.  Today's webcast will be available for on-demand playback later today. At this time all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions]. Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ, possibly materially from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see Risk Factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on 19 March 2021. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito : Thank you, Lorie, and good morning and good afternoon everyone. Welcome to our first quarter 2021 earnings call. I hope you are safe and well.  Before discussing our results, I’d like to take a moment to address our other announcement. As most of you probably know by now, today we announced that after 32 incredible years at the company and 15 years as CEO, I'll be stepping down from AB InBev at the end of June. Starting July 1, Michel Doukeris who has very successfully led our North America zone for the past three years will become AB InBev’s new CEO.  Throughout his carrier at AB InBev Michel has consistently delivered strong results, while serving in key leadership roles in Brazil, China and the U.S., three of the company's largest markets. I have the utmost confidence that he is the right person to lead our company through its next phase of growth and value creation. I wish Michel the very best as he begins his new role.  When I joined Brahma in 1989, I never imagined the journey our company and I would embark on over the next three decades. I’m immensely proud of what this team has accomplished together. We’ve built the leading and most powerful global brewer, with the best brands and more importantly the best people. We grew the company both organically and inorganically through industry defining combinations.  To-date we have an unparalleled portfolio of brands, including the most available beer brand in the world Budweiser, and our two other leading global brands Stella Artois and Corona. We became one of the top – one of the world's leading FMCG companies with operations in nearly 50 markets, our brands sold in more than 180 countries and selling more than one out of every four beers in the world.  I want to thank all 164,000 colleagues of mine who made this all possible through their energy, passion, commitment and resilience. It has been an honor and privilege to work with such a talented group of individuals as we build this global company based on strong values and our unwavering commitment to excellence, quality, consumers and communities. I want to thank our shareholders and our analysts for the time devoted to AB InBev. I know you’ll enjoy getting to know Michel.  Now, let me take you through our agenda today. I like to start with how we at AB InBev are doing our part to support the global economic recovery. I’ll then take you through our first quarter results, including highlights from our key markets. Next I'll walk through our Beyond Beer strategy. I will then hand it over to Fernando who will take you through our financials. We’ll then be happy to take your questions. Let's start with what we're doing to support the recovery.  Beer has always been a strong engine of economic activity. Our beers are almost entirely sourced, brewed and enjoyed locally, deeply connecting us to the communities where we live and work. The beer industry generates local jobs upstream in farming, brewing, bottling and recycling and downstream supporting local retailers, bars and restaurants.  For instance, for every job in a brewery in the U.S. over 30 jobs are created in supply chain. This multiplier is much higher in developing economies. We have an opportunity to recover from the pandemic in a way that’s both environmentally and socially sustainable. Our strong value chain can positively impact the economy, given its breadth and depth, putting us in a unique position to support the recovery.  Across operations we continue to invest behind our business, expanding our facilities, production capacity, and most importantly, creating jobs. For example, in the U.S. we invested $1 billion over the next two years in manufacturing and sustainability across 26 States.  In China we are investing our brew footprint and capabilities with the new Smart Green Brewery in Wenzhou. In the U.K. we announced a GBP160 million investment in two major breweries to increase capacity and efficiency. In Mozambique, we recently opened a new 2.4 million hectoliter brewery representing the biggest investment ever in the brewing sector in that country.  We believe the fastest way to bring people together again is through its safe and effective global vaccine rollout. Using our marketing expertise, we developed a tool kit in partnership with the United Nations Institute for Training and Research, UNITR, to create the successful vaccination campaigns through public, private, partnerships. We are also leveraging our scale and reach to accelerate the vaccine rollout across all markets.  In the U.S., Budweiser donated its Super Bowl air time to raise vaccine awareness. In Colombia we led COVID-19 vaccination campaigns in partnership with the Ministry of Health. In Argentina we set up a vaccination site, administering 1,000 vaccines per day. We are committed to supporting communities and doing our part to accelerate the safe and sustainable recovery.  Now let me take you through the results of the quarter. Our business is up, with a very strong start in 2021. We delivered balanced top line growth of 17.2% comprised of 13.3% volume growth and 3.7% revenue per hl growth, driven primarily by favorable brand mix from the outperformance of our premium portfolio. Our beer volumes grew by nearly 15%, while our non-beer volumes grew by 4%. Total volumes were ahead of pre pandemic levels as well with beer volume growth of 2.8 % versus the first quarter of 2019.  Healthy revenue growth and ongoing cost discipline translated to an EBITDA increase of 14.2% and an EBITDA margin of 34.7%. Positive brand mix and ongoing cost discipline was somewhat offset by anticipated pressures from transactional FX and commodity headwinds, channel and packaging mix, and an increase in our SG&A as a result of higher variable compensation accruals, which are recorded by quarter at the zone level, depending on operational performance.  Our normalized EPS increased to $0.51, while underlying EPS increased to $0.55. We are reaching more consumers than ever before to support full year approach. This quarter we gained share in the core and value segments across our markets. Our premium portfolio grew by double digits and our Beyond Beer business grew by over 40%. Our additional platforms continue to gain scale as our B2B platform BEES capturing over $3 billion in GMV and our old e-commerce business quadrupling in size.  Now let me take you through some highlights from our key markets. In the U.S. we delivered top and bottom line growth, driven by the consistent execution of our consumer first strategy. We continue to strengthen our industry leading portfolio by rebalancing towards faster growing above core segments. In Mexico, we delivered top line growth of high single digits with both volume and revenue per hl growing by mid-single digits outperforming the industry.  Our business in Colombia continued its strong momentum, delivering top and bottom line growth above 20% with robust performance across all segments of our portfolio. Our business in Brazil delivered a strong start of the year; our Beer business again outperformed the industry according to our estimates, growing volumes by nearly 16% in above pre-pandemic levels.  In Europe, our business continues to be impacted by significant COVID-19 restrictions. Our own beer volumes excluding third party volumes were flat year-over-year as we delivered double digit growth in the off-premise channel powered by our Premium Portfolio.  In South Africa our business was significantly impacted by a one month government-mandated ban on alcohol sales, which resulted in the volume decline in the quarter. Once the ban was lifted we saw solid underlying consumer demand for our brands.  In China, our business delivered over 90% revenue growth, surpassing pre-COVID-19 levels, driven by ongoing premiumization. Volumes grew 85%, estimated to be ahead of the industry.  Now, I’d like to spend some time highlighting our premium portfolio. Premiumization of the beer industry remains one of our most significant opportunities for growth. We have been investing to build a diverse portfolio of global, international and crafts and specialty premium brands across our markets, making us the largest premium brewer in the world.  Our Premium portfolio now represents more than 30% of our total revenue, an increase of more than 6 percentage points from 2017 and grew by 28% in the first quarter. This growth is accretive to our bottom lines as our Premium brands carry a higher dollar profit per hectoliter than our core brands.  Our global brands continue to lead the way in premiumization, with global revenue up by 29.5% and by 46.4% outside of their brands home markets, where they typically command a premium price point. All three of our global brands; Budweiser, Stella Artois and Corona, grew by double digits versus the same period in both 2020 and 2019.  Now I’d like to take you through our strategy to drive growth in Beyond Beer. The lines between established segments within alcohol, beer, wine and spirits continue to blur. A fourth category defined as the intersection between the segments has emerged as a relevant player with significant growth potential. We call this category Beyond Beer, and it includes products such as Ready to Drink Beverages like Canned Wine and Canned Cocktails, Hard Seltzers, Cider and Flavored Malt Beverages. This segment is expected to grow by 45% between 2019 to 2024. It is estimated to grow to $58 billion in global sales by 2024 according to Euromonitor.  We believe we have the right strategy and capabilities to win in this space, by leveraging our agile innovation process, diverse geographic footprint, global supply chain and extensive route market.  As markets mature, consumer needs and occasions evolve. It is critical to offer a portfolio of options to our consumers to drive growth. Beyond Beer products can offer functional benefits or attributes that are not offered by traditional beer, wine or spirits. When exploring this space, it's key for us to understand and map the specific opportunities where we have the capabilities and the right to win.  Our team stayed closed to emerging trends in the Beyond Beer space and are empowered to invest in both organic and inorganic growth opportunities. Each of these opportunities goes through a seasonal launch phase designed to test to learn and they need the growth and scale or to pivot fast. Successful organic ventures include BEES in Brazil, Brutal Fruit in South Africa. On the inorganic side, we added brands such as Cutwater, [Inaudible] and Neutral [ph] to our portfolio as well. We are building a strong enough portfolio beyond beer products globally. We're launching Mike's Hard, a brand we own everywhere outside of the U.S., across our footprint. It will be available in more than 20 countries by the end of this year, in both the Mike's Hard Lemonade and Mike's Hard Seltzer variance.  In the U.S. our largest Beyond Beer market that represents approximately half of our global Beyond Beer volume, we have significantly enhanced our presence in the Hard Seltzer segment with Bud Light Seltzer into more recent launches of Michelob ULTRA Organic Seltzer and Cacti. We're expanding products like Hard Seltzer to new geographies. A great example is the launch of Michelob ULTRA Hard Seltzer in Mexico, where it has already captured approximately 45% market share of the developing Seltzer segment, more than the next three brands combined. Our portfolio is already global, with around 90 brands in approximately 40 countries.  Our Beyond Beer portfolio is growing fast. The business delivered $1.2 billion in revenue in 2020 and grew over 40% in the first quarter ‘21. This incremental growth is also a credit to our bottom line. On average, our Beyond Beer products have a 20% higher gross profit per hectoliter than our traditional beer portfolio.  With that, I'd like to hand it over to Fernando to discuss our financials. Fernando. 
Fernando Tennenbaum : Thank you, Brito. Good morning, good afternoon everyone. I hope you are all safe and well.  Let me first take you through the drivers of our underlying EPS. Our underlying EPS increased by $0.04 from $0.51 to $0.55. Our strong performance in the quarter drove an increase in EBIT that equates to $0.15 per share. We also recorded lower net finance costs; it was $0.06 per share. These benefits were partially offset by higher non-controlling interests worth $0.08 per share, resulting from higher profits of our listed subsidiaries, Budweiser 8 pack and [inaudible] along with the issuance of our 49.9% minority stakes in our U.S. basis metal container operations in December 2020. We also saw high income tax expenses due to country mix and reduced benefits of tax attributes worth $0.07 per share.  On slide 22 you will see that our debt maturity profile is well distributed across the next several years, with no significant maturities over the next five years. We maintained more than $24 billion of liquidity at the end of 2020.  As a reminder, we do not have any financial covenants on our entire debt portfolio, including our sustainability-linked revolving credit facility. Our bond portfolio remains largely insulated from interest rate volatility as approximately 96% holds a fixed rate. Furthermore, the portfolio is comprised of a variety of currencies, with 51% denominated in U.S. dollars, 37% in the euro and the reminder in currencies such as Canadian dollar, pounds sterling and Korean won, diversifying our FX risk.  The weighted average maturity of our debt portfolio is more than 16 years. Finally, we continue to have a very manageable weighted average coupon rate of approximately 4%.  I will know take you through our capital allocation priorities, which remained unchanged. The first priority for the use of cash is to invest behind our brands and to take full advantage of the organic growth opportunities in our business.  Second, deleveraging to around 2x net debt-to-EBITDA ratio remains our commitment, and we will prioritize debt repayment in order to meet this objective. Third, with respect to M&A, we’ll always be ready to look at opportunities when and if they arise, subject to our strict financial discipline and deleveraging commitments. Our fourth priority is returning excess cash to shareholders in the form of dividends and/or share buybacks. Before handing back to Lorie to begin the Q&A session, I would like to announce changes to our Investor Relations team. Lauren Abbott or current Head of Investor Relations will be assuming a new position as the Global VP of Economic Policy and continue reporting to me. [Inaudible] who has been the company for 10 years will succeed Lauren as our Global VP of Investor Relations.  And now, over to Lorie to begin the Q&A session. 
Operator: Thank you. [Operator Instructions]. Our first question comes from a line of Trevor Stirling of Bernstein.
Trevor Stirling : Good morning, Brito and Fernando. So first no questions, but just a big thank you from me for 15 years of patients going through earnings calls, 15 years follow-up sessions. You have been uniformly polite and patience with all our questions, and thank you very much and best wishes for whatever the next chapter holds. 
Carlos Brito: Thank you, Trevor. It’s been a pleasure.
Trevor Stirling : Thank you. Now, on to the questions. Brazil, there is a phenomenal price mix in beer Brazil. I think it was 12.6% in the AmBev accounts. Can you give us just a little bit of color about what combination of prices reduce promo, travel pack mix, premium branded etc., drove that very, very strong price mix.  And then just longer term bigger picture question, you quoted on Bloomberg as saying that Michel is more intrigued with the next phase in what's needed. And I wonder if you could just tell us a little bit about what you think and clearly its Michel’s decision ultimately, what that – tell how that phase will be different from the recent past. 
Carlos Brito: Well, thanks for the question, Trevor. So to your first question about price in Brazil, yeah indeed, I mean revenue per hectoliter in Brazil grew by – revenue per hectoliter grew by 10.7% in Q1’21, primarily due to positive mix from beer growing faster than non-beer. So that’s the first thing, and revenue management initiatives in both our beer and non-beer business.  So the Brazil beer net revenue growth was due to a combination of factors: Promotional activity strategy like you mention, price increases carryover from last year and a positive brand mix portion of pack mix. So brand mix in Brazil was a big factor here. So that was a bit of the explanation for the net revenue in Brazil, net revenue per hectoliter.  In terms of Michel, what I said is that Michel and I have very similar – we’re very similar in many ways, and that we both believe strongly in our culture, in our values and our principles. We both prioritize people above all things and we both believe that our internal colleagues are our greatest assets and strengths, so no change there. But Michel has had a different career within the company.  I came from Brazil and to Canada, to Belgium you know and then global. Michel went from Brazil to China to U.S. any he loved those markets. And in China he saw a consumer that was very digital; a market that was very fast in terms of innovation, everything was about innovation. The business of ours in China that was all about Premium and Super Premium, very different than other markets of ours, in which we lead the profitability of China, the profitability in China we lead by far even if you add the next three to four competitors as you know Trevor, so we saw that in China. When he came to the U.S., he was quickly to build a very diverse team, a very talented team and he understood the U.S. market where consumers are going, the trends, insights, a pre-COVID, after-COVID, during-COVID and he was able to come up with a strategy that was simple, effective, worked and that has been consistent. So I think he brings a new set of experience within our company and you know a fresh pair of eyes.  And right now as you know, we're very big on our business transformation enabled by technology. You’ve seen our B2B platforms, B2C platforms, direct-to-consumer platforms and imagine our company’s delivering transformed. So if you look at our business, the last year travel, the second half, this year, it’s on a very strong momentum; gaining share, growing volumes, you know numbers, you know P&L make sense, beautiful shape and so we're delivering and at the same plan which was fun [ph].  If you look at our BEES business, it's – you know it has already 25% of our customers are already in BEES. GMV is growing very fast. If you look at our B2C also growing very fast. Our B2C had almost 20x as many orders in 2020 as it had in 2019 and despite that strong raise; we grew again in this first quarter 50% on top. So I think it's a very strong momentum we have in both delivery and transform and Michel is very tech savvy and I think he'll continue on that journey.  So the world is changing fast. We have a new combination of levers going forward as you know between delivery and transform and it shows we’re in-tune. He was part of the strategy elaboration. He was part of my team, so a key member in elaborating that strategy, so he’s very supportive of that strategy. Thank you. 
Trevor Stirling : Beautiful! Thank you very much Brito.
A - Carlos Brito: Thanks Trevor.
Operator: Your next question comes from the line of Pinar Ergun of Morgan Stanley.
Pinar Ergun: Hello! Thanks for taking my question. Brito and Lauren, all the best for the future and congratulations to Michel and Sean [ph] for your new roles. I had a question on pricing and commodities. Are you confident about ABI's ability to pass through rising input costs prices as you look ahead to the remainder of 2021 and even ‘22 or should we perhaps be more cautious about the margin evolution going forward?  And if you're planning to raise prices, how would you go about managing the volume response to that, particularly in markets like Brazil which are facing some tough comps later in the year. Now this question is about the whole group globally, but it would be very helpful if you could please also comment on Brazil specifically. Thank you. 
A - Carlos Brito: Yeah, hi! So yeah, going to this question first, I mean our one strategy; our long term strategy has not changed. Our price is in line with inflation and we also pass tax increases to the consumer, so that's a long term strategy as always been. It doesn't mean that it's true every quarter, every year. At the end, the magnitudes have changes, but that’s long term where we’re headed.  With respect to pricing, we take many factors into consideration. At the local level, pricing is a very local thing. So to try to strike the right balance as you said between volume and price, so we take into account inflation, not only CPI but beer inflation, general CPI but also the inflation and we look at the health of the consumer. We look at affordability relative to beer prices to other substitutes, taxes, the better environment, so lots of things go into making a decision about pricing and it's a local decision.  You're right, we’re currently seeing inflationary environment across some of our main markets, including the cost of raw materials. This will be a relevant consideration for sure for our pricing decisions. It's also true that in light of our 12 months rolling hedging policy, we're facing this year impacts that were born last year in terms of transaction affecting commodity headwinds that we had last year.  On the other hand our hedging policies give us time to plan and to react and to work on initiatives to offset those impacts. So this year 2021, top line growth is expected to come from a healthy combination of borderline prices as said before.  And last point is that our industry leading profitability gives us flexibility to weather short term volatility, preventing us from having to make any short term decisions that could be detrimental to the business long term. So a long answer, but to just give you a framework on how I think about prices and Brazil’s no different, Brazil’s no different. Brazil will fall in the same kind of guidelines in thinking about pricing. 
Pinar Ergun: Thank you. Very helpful. 
A - Carlos Brito: You're welcome. 
Operator: Your next question comes from the line of Olivier Nicolai of Goldman Sachs.
Olivier Nicolai: Hi! Good morning. First to follow-up on Trevor’s questions and the revenue factors that increased in Brazil internally, so that’s actually strong. I was just wondering how sustainable is that kind of growth and for how long do you think that this reduction in promotion will last?  And then the second question is actually on Nigeria. You mentioned a supply constraint. I was just wondering if it was relating to capacity, you being at full capacity and when do you think this would be resolved? Thank you. 
A - Carlos Brito: I’ll start with Nigeria. So Nigeria, your main issue is with supply for various reasons and we have a disadvantage that is going to be fixed, which [inaudible] have much warehousing at the port level and that gives us a disadvantage compared to other competitors there in and chances are we’re having more stuff in-house. And when the ports get congested, we don't have that buffer, so that's going to be corrected. The other one is that we had a fire in our Licher brewery and that impacted one of our production lines, so that was also something that was a problem. And the third one was that we started the year with very low inventories, because we had such a great fourth quarter and we also had those protests last year, that also because of some basic production. So you combine low inventories with supply chain challenges, and with the fire in our brewery, so yeah, that's the explanation.  But all those things are transitory in nature. What's important to say in Nigeria is that our brands are very strong. We have the strongest brand in the country and you know as soon as those things are fixed, we’ll resume our momentum, I have no doubts. In terms of pricing in Brazil, we have historically taken you know prices every year pretty much. We continue to look at prices. We just took a price increase in June, right. So when we announced that we're going to take a price increase in June, that is the same and so again our pricing performance in Brazil into Q1 has been because of the carryover we had, also because of premiumization, also because of innovation, right, so all those things were very important.  We are of course looking at the inflationary environment that is happening in Brazil and we tend to keep in that balance between sharing that revenue, but of course that will be a very important component in our price increase decisions. So again, not very different from how we do it on a global basis, but yes Brazil, we are alert because every inflation pressure is there as well as in other countries. 
Olivier Nicolai: Thank you very much Brito for your time over the years and congratulations. Thank you for implementing, bringing people together for a better world agenda , which I’m sure. Over the last 15 years of you as the CEO, there’s a massive impact on millions of people. 
A - Carlos Brito: Thank you, Olivier. Thank you very much. 
Operator: Your next question comes from the line of Simon Hales of Citi. 
Simon Hales : Thank you. Hi Brito! Hi Fernando! Can I also just echo with everyone else’s comments; thank you for your time and wish you all the very best! 
A - Carlos Brito: Thank you.
Simon Hales : I had a couple of questions if possible. I want to firstly – thanks for providing the EBITDA guidance to-date. Could I just sort of clarify the EBITDA base in 2020 you're using to make that assumption of 8% to 12% organic growth from. I think it’s Fernando you reported I think $17.3 billion of EBITDA last year, but that did include almost $500 million in Q4, what I think was one-off tax credits in Brazil. I just want to just make sure we're starting off with the right sort of feds. And secondly, I wanted to ask you a little bit more about the distribution agreements with Sazerac and Red Bull you’ve signed in China. You report the strategy you said and could be seeing more of those sort of distributions, part of it is premium spirit suppliers in other markets or was it really just to China, a specific initiative? 
Fernando Tennenbaum: Hi Simon! Fernando here and I’m going to get this first one and I’m going to turn over to Brito. On the first one, it excluded the hidden tax credits. We excluded last year from the organic performance and we are excluding that from the guidance as well. So it's organic in this growth guidance 8% to 12% excluding the hidden tax credits. 
Carlos Brito: And in terms of the second question, in terms of the second question, I mean this partnership is totally connected to our premiumization strategy in China that has always been our strategy. It'll further enhance our portfolio of Beyond Beer, the segment that is growing so fast. We are very excited to include these premium spirits including Fireball and the premium energy drink on a global basis, Red Bull for our Beyond Beer portfolio.  So we are going to be the exclusive distributors in mainland China. It'll start on June 1, and it'll include Fireball, [inaudible] Southern Comfort and other premium spirits from Sazerac. This will allow us to input the high end spirits market in China, so very excited. And it will allow us to capture different drinking occasions, different diverse drinking occasions which are complementary to beer. And in terms of Red Bull, its great to have that national distribution partnership knowing that Red Bull is well-known as a leading premium energy drink, and that again will enable us to target broader drinking occasions. It’s important to say that both portfolios are margin accretive and both industries are expected to grow as consumers have stronger buying powers. It will be focused on the regions we apply consumer demand, based on our market maturity model.  And just the last point, many of our premium wholesalers which are already operationalized like in Western bars, they are interested in expanding into premium spirits business. So those two brands are – two brand portfolios being added can create positive synergies with our existing portfolio and route-to-market, so it’s a win-win big time. 
Simon Hales : That’s good. Could you guys just come back on the guidance again and its just – I was wondering if you could just sort of share a bit about the shape of margin developments through the remainder of the year. Clearly lots of moving parts going on with the transactional FX headwinds in the first half in Latin America, particularly [inaudible] are probably easing into H2, because that helps as we go into Q2.  You should have easy margin comparatives in overall Mexico and South Africa given the issues last year. How should we just think about H1 versus H2 margin development overall? The full year margins are still going to be negative, but the amount is going to be worse in the second half and therefore in the first half at the group level do you think. Any color you can give us to help us with our modeling please?
A - Fernando Tennenbaum: Hi Simon! We are not being so precise about quarter-on-quarter, but as we would expect probably we have the easier homes [ph] on Q2, given that was the quarter that was mostly affected by COVID last year, and also we know that the first half of the year, especially Q1, we’re seeing less pressure on FX than we are going to see towards the end of the year. And H2, you are going to have a slightly more commodity pressure. So, but that’s a given, given our 12 months policy, so you just look at how these two, both FX and commodities behavior last year and you can extrapolate that for 2021. But not being so precise of how it's going to be the impact in every quarter. 
Simon Hales : That’s really helpful, thank you, and thank you for sharing. All the best! Thanks. 
Operator: Your next question comes from the line of Sanjeet Aujla of Credit Suisse. 
Sanjeet Aujla: Hey, Brito and Fernando, a couple of questions from me please. Firstly, on middle America's, you know pretty exceptional volume performance, you know particularly looking against pre-pandemic level. What’s really driving that, and is there any Easter timing benefit maybe helping that? My second question is on BEES. Based on your learning so far, what are the biggest opportunities here? Is it category extension? Is it revenue per hectoliter? Is it a combination of both? I’d love to get your thoughts on that. Thank you 
Carlos Brito: Yeah, hi Sanjeet. In terms of Mars, I mean Mars has been always for many years now a source of the amazing value creation and this quarter was no different. The portfolio is growing because we have, we understand consumers, we have a portfolio that is a winning portfolio. All our brands are gaining brand power. We have an amazing execution in the marketplace. We are also developing the platforms of BEES and also B2C, Direct-to-Consumer, [inaudible] stores that will be a big help to develop faster, the last mile to consumers and our B2C efforts, and we have the OXXO expansion.  It is true to say that two-thirds approximately of the portfolio of our share gain in Mexico is due to our internal factories and one-third to OXXO, so – and OXXO is still, there is lots of OXXO to come, but again it's also interesting to say that our portfolio continues to grow even outside of OXXO.  So it's about taxes and operations; it's about understanding consumers, investing the right brands, have your portfolio that appeals to the segments, to the locations pre-COVID, during COVID and we are thinking the new normal innovation, but it’s really all this together.  In terms of BEES, BEES brings a whole bunch – it’s a whole bunch of possibilities. If you think about this, in the old days there was a sales rep that would go to a part and that sales rep would sometimes churn, either leave the company for some reason or get promoted and there'll be somebody else.  So BEES is an investment in customers interested in our parts, and its capturing data that won't go away. Because with a sales rep, if the sales rep would leave, they would away a part of it. With BEES every transaction there is, we have more data points and with these data points you have optimization engines in terms of pricing, assortment, promotion, suggested orders, all those things that are behind the platform and we get to know our customer better and as you get to know our customer better we offer them things that are more relevant to their business, and make them more successful, and as they grow, we’ll grow as well.  So BEES, in answer to your question, yes its driving incremental revenue growth through the acceleration of our base business and expanding into new offerings like marketplace. BEES captured over $3 billion in GMV in the first quarter, which is equivalent to the GMV it captured for the whole of last year.  So a growth of more than 50% for the fourth quarter is already live in 11 markets, in the Americas mostly. In seven markets out of 11, so more than 50% of our net revenue through BEES and we continue to expand and we now have 1.5 million users, monthly active users in our platforms, and that's a 60% increase versus December last year.  So BEES is not about cost reduction. It’s about elevating our relationship with our customers by dressing their pin points, enhancing their business performance. If they win, we win. So a big transformation initiative, hence we are defining the way our sales operation works. 
Sanjeet Aujla: Great! Thank you for your time over the years Brito and best wishes for the future. 
Carlos Brito: Thank you, Sanjeet. 
Operator: Your next question comes from a line of Laurence Whyatt of Barclays. 
Laurence Whyatt : Hi! Thanks very much for the questions; a couple for me as well. Firstly, on your guidance of 8% to 12% EBITDA growth organically, I was wondering what are your assumptions on the various external factors that are going on globally, say particularly around COVID and the various reopening plans potentially happening in Europe this quarter. And what are your internal expectations on those with the government restrictions in order to hit that guidance?  And secondly on BEES, you gave a number of geographies that were particularly successful, but where do you see the next rollout taking place for that software. Thank you very much. 
Carlos Brito: So I mean in terms of our guidance, let's talk about what would have changed, because the basic guidance is to tell the truth, because we said that we expect top line growth from a healthy combination of volume and price, that’s true. We said that we expect our top and bottom line results to improve meaningfully versus 2020, so everything we said there it’s true, but we added to it.  So why we added? Because we had a very strong start of the year, and because of the global development in the fight against COVID-19, so we decided to specify that we expect our EBITDA to grow between 8% to 12 % and our revenue to grow ahead of EBITDA from a healthy combination of volume and price.  So as you see, this numbers is two meaningful numbers. So we didn’t change anything. We just decided to specified and why we did that, because of two things; the strong start of the year and the new news in terms of vaccinations and openings that are now more current. This guidance as you said is based on some assumptions. First assumption, is the reopening rates, particularly beyond premis channel that they continue at the current pace, that's our assumption.  Second, no full operational shutdowns in our markets as we saw in South African in January. So we are not assuming anything of that sort going forward. Third, that the transactional effect in commodity costs will as you know be worse than 2020, so that’s in there.  Fourth, with the channel package mix improvements throughout the year, we'll continue to improve than in 2020, but still worse than 2019, so somewhere in the middle between ‘19 and ’20 our situation continues to improve and restrictions are eased.  And the last but not least, year-on-year increase in variable compensation driven by improved operational performance as compared to last year where most products didn’t receive a bonus. So that's also something to think about. Our compensation system is connected, is directly connected to value creation in what new investors fuel. So if you have a good year, we have a good year, you have a bad year, we’ll have a bad year, and last year was a bad year, so we also had no bonus. So this year given the strong start, given our guidance, we are beginning to build the provisions for our variable compensation and that is something that of course impacts SG&A and of course the payout will depend on the final year achievements and also depend on cash flow revenue growth and organic EBITDA that are our targets. But given the strong start the year and the fact that we have in our specific guidance for EBITDA, we also require more bonus, which impacts SG&A, which impacts margin.  In terms of BEES, as I said before BEES is a transformation activity for us. We are very excited. It's amazing if you compare it to two, three years. Its starts you know writing code, code that’s useful to our parts, that’s why we are adopting. We are not forcing them to adopt. They are adopting because it makes their life easier, their business more successful, because it's more relevant to them, because the platform knows more and more, every transaction about what's interesting for them, what mix shift is for them and we're pretty much in the Americas at the beginning to branch out to other countries. They are not public yet, but will continue to roll out, but of course specific markets would be communicated in due course. 
Laurence Whyatt : That's great. I appreciate it. Thank you very much. And I'll echo everyone else’s comments. So best of luck with the next stage and the journey! 
Carlos Brito: Thank you so much. 
Laurence Whyatt : Thank you very much. 
Carlos Brito: Thank you, Laurence. Thank you so much. 
Operator: Your next question comes from the line of Mitch Collett of Deutsche Bank. 
Mitch Collett: Hi Brito! I’ve got two questions please, and one I think is for Fernando. Can you perhaps provided a bit of color on the tax guidance of 28% to 30%, and I appreciate there’s probably a lot of moving parts, but that price is a lot higher than the ECR in 2019. Can you perhaps give some guidance on what sort of level we should expect for tax in the long term and then just a broader question on margins.  Clearly this isn't a normal year, but your guidance obviously suggests that margins will be down versus 2020. I think margins peaked, EBITDA margins in 2018. Can you see a route back to that level of profitability long term and can you talk about the drivers to get you there? 
Fernando Tennenbaum: Hi Mitch, Fernando here. So let me start on to the tax plan. So our effective tax rate is a function of the countries where we operate. So we should look at the weighted average tax rates of the counties we operate and the account, and because actually we produced and paid tax locally in each one of the counties and our effective tax rates is somewhat similar. We decided to see that we are redeeming the organic EBITDA growth. We decided it was appropriate 2.25 and as far as the guidance for this year, that we expect to be in the range of 28% to 30%.  So we are not giving any guidance further out, but probably you can always refer back to what I mentioned in the beginning, that our current tax rates is similar to the weight average tax rate on the countries in which we operate. 
Mitch Collett: I was just going to follow-up and say, does that imply that you know if you get back to the geographic split you had in 2019, it's more likely to be closer to 2019 than the guidance you‘ve given from 2021, longer term.
Fernando Tennenbaum: No, no, we had a difference geographic spilt in 2019 than the one we have now, and we have different counties growing at different rates. What I'm saying is that our current tax rates and the one we are guiding is very closely related to the weight average tax rate from the countries we need to operate in and we need to pay taxes locally. So we are giving this guidance for this year, but we are not giving any guidance so far further out. 
Mitch Collett: Okay. 
Carlos Brito: In terms of second question about EBITDA margin recovery, right Mitch? 
Mitch Collett: Yes. 
Carlos Brito: Yes, so in terms of the EBITDA margin, first you have to look at EBITDA margin in the context of many other things, but we’ve talked already about this in some of the calls. But I think what's important to, in terms of EBITDA margin recovery is that a couple of things will make our margin go back, okay. So right now we are being pressured for all the things we know, right, emerging market currencies, dislocations by COVID in terms of brand, channel, mix, package, you know all those things that are creating that kind of pressure on the margins, and also just the volume deleverage as volume went down.  So what’s going to recover margin? It's going to be volume growth as we resume growth like we have now, as we resume growth that's going to be very important for margin, because then you have to have volume, you know the bottom leverage coming back to play, which has always been a part of our margin structure.  Beyond freight reopening, we'll get the RGB, the Returnable Glass Bottles back in place, which has always been important in our margin structure. The growth of core plus and premium portfolio, including Beyond Beer, that will continue to positively impact our net revenue and dollar margins, that would be clear as well, okay and that’s something new that was not present in the structure in the past.  The innovation pipeline that we are getting better and better at as we grow Beyond Beer included, as we grow to other locations within beer, as we expand our portfolio for foreign consumers, because that's where growth is, and again that's going to be key and a lot of innovation is in the core plus and above.  As we invest strategy CapEx in things like technology, B2B, B2C, those margins are interesting, very interesting when this business gets to scale. As we correct footprint, the efficiencies we have as a source the supply chain, bottlenecks we have, and as we continue to invest in getting closer and closer to consumers and customers with more information. That would make our marketing dollars more efficient as well.  In our strong financial discipline around costs and expenses in general, that has always been a hallmark of the company. So a lot these things I said were part of the old margin construction; some are present year, some are new you. But what I can tell is that that reference you have in mind and I have in mind will continue to be the high water mark that we all intend to get to and go beyond.  So that hasn't changed, but when you think about emerging markets in the last few years, it has been a tough ride in terms of currency, FX and also commodities. When you think about COVID, our industry was one that was the hardest hit together with the hotels and travel and things like that. Why? Because we’re dependent on the channels that were one-third of our business that was shut down, like the entre, and we had businesses of ours like in Mexico, Peru, Ecuador in South Africa that was shut down for two months of more, and we continue to have restrictions.  The only country that still is without restrictions today is China, all other countries of ours have some kind of curfew, some kind of mandated closing hours, some kind of restrictions. So we are not there yet. So as you recover all that, we have in mind what you had in mind, which is to go back to the kind of margins EBITDA margins we had prior.  On the other hand, I think it's important to see that as our business grows more and more into other categories, we need to think also that dollar margins as opposed to just EBITDA margins. Thank you. 
Mitch Collett: Thank you, Brito, and thank you for all your help and patience over the years. And best wishes for the future! 
Carlos Brito: Thank you, Mitch. 
Operator: Your next question comes from the line of Edward Mundy of Jefferies. 
Edward Mundy : Good morning, Brito and Fernando. Two questions from me. The first is just a point of clarification on the guidance. I think the guidance of 8% to 10% reflects your current assessment on the scale and magnitude of the pandemic. i.e., it’s a snapshot based on what you're seeing today. I appreciate you don’t have a crystal ball, but if underlying conditions improved further, and you get a further reopening or the entre comes back quicker, is that reflected in the guide, is the first question.  And the second is really around BEES and to what extent this is a facilitative and improving application. I mean you've been pushing portfolio, the portfolio gain for several years now, since the transaction of the cash expansion model, but you are starting to see some pretty decent results in terms of volume picking up, market share, premiumization and really getting the portfolio moving in the right direction. The question is, to what extent is BEES the real facilitator of this improving execution? 
Fernando Tennenbaum : I have some numbers here, so I'm going to take the first question. So just a clarification, our guidance is not 8% to 10%, its 8% to 12% organic growth EBITDA. And this is our current assessment to-date. On the next part, for whatever reason we see the conditions moving to another direction, then we’ll give further updates, but for now this is our best judgment, best assumption...
Edward Mundy : [Audio Gap]… in three, six months. 
Fernando Tennenbaum : Yeah, it’s based on the data that we have today, which is the current status of the market, and our assumptions on how the markets will evolve, the re-opening rates, what is going to be the place of reopening of the different markets own brand and so other restrictions that are out there. These are current assumptions and that is what is embedded into the 8% to 12% guidance. 
Edward Mundy : Okay, thank you. 
Carlos Brito: And Ed on the second one, if I understood correctly, you are asking about category expansion framework, right. The framework we’ve been using since 2017. 
Edward Mundy : It’s more a question of to what extent BEES is really accelerating the market share performance as well as the revenue guide you need to step up. 
Carlos Brito: You mean BEES? 
Edward Mundy : Yeah, BEES yeah. 
Carlos Brito: Okay sorry, I misunderstood your question. No, no for sure. I mean BEES is something that – think about this, every time there's a transaction with the block, BEES captures everything about that transaction. How the customer navigated the different screens in the app, what made him or her stop, what kind of things we offered that he or she didn't click on.  So I mean you start having an idea of what kind of customer you have on the other side of the app. And because of that you have a whole bunch of algorithms that are optimizing for different functions, and in terms of assortment, in terms of premium or less premium offerings to this thought given its profile, in terms of pricing, in terms of promotion, in terms of new launches, so – and this is learning every day.  This is not dependent on human being that leads to more rep or a kind of civilization [ph] that forgot to put something on the screen as an observation. This captures every piece of data that we get for every interaction, so the more interactions you have, the more this AI, the machines and the optimization engines become better.  They also help given the profile of the part, they help execution drivers in the part. So they say okay, for this part, education driver is one, two, for this one it’s three, four. So we’ll continue to have a BDR, Business Development Rep that will continue to visit less frequently.  So whenever this person goes, the algorithm will also tell what can increase sales in that park compared to the neighbor park. So all this driven by algorithms that are smart, that are trying to optimize functions.  So yes there will be incremental revenue growth, enables better execution, gets premiumization up, expands our assortment, deals better with out-of-stock, because the optimization algorithm will say “hey, I know” the algorithm knows the calendar, so it knows there is a football game coming next week and maybe the order that came was a suggested order that’s already implicit or it already has that implicit that the game is coming up, so the suggested order will be higher.  And we see every time that these, every data goes past, we see more and more customers adhering to this suggested order, because this suggested order, knowing everything about the customer is being more relevant and more tailored to the customer.  So that's taking time for them, because we offer them in terms of new news is more tailored to what they need, and what we offer in terms of suggested order is very close to what they needed. They don’t need to check inventory and do the whole thing. So lots of benefits that will come from BEES. 
Edward Mundy : Got it, thank you. And equally many congratulations on all your achievements this part 32 years. 
Carlos Brito: Thank you so much Ed. 
Operator: Your next question comes from a line of Laurent Grandet of Guggenheim. 
Laurent Grandet : Hi everyone, and congrats Brito for an extraordinary carrier, leading what ABI is today. 
Carlos Brito: Thank you, Laurent. 
Laurent Grandet : Yes, so another kind of follow up BEES if I may. Its moving some of our profitability, what like you understand, how much incremental there is? I mean it is right now to your distribution network. The way you see this expanding and see that your leveraged, that you can get by getting this business bigger, so that’s my first question.  And the second one is really more on the [inaudible]. You’ve been launching some sprite base in that Seltzer, I mean that got the idea in the U.S. and Cutwater and some nice vodka base. Do you think it’s a good avenue to disrupt basically the two leading brands in the U.S. or elsewhere. So I’d like to understand a bit your view of spirit base in that Seltzer? Thanks. 
Carlos Brito: Yeah, in terms of, I think your first question was about BEES, right. 
Laurent Grandet : Yes correct, profitability. 
Carlos Brito: Yes. So again at this point we are not really giving much numbers in terms of incremental revenue growth that’s been generated for assortment or delta premiumization, because this is all competitive sensitive and we believe BEES is a big transformation initiative of our company. But we are seeing things like you know seven of the 11 markets where BEES is today, more than 50% of our net revenue or sales is already there. We are seeing that 25% of our global base of customers is already connected and that 60% above what it was December last year.  So we are getting some data points there, and in terms you’re other questions, in terms of the spirit space, this is very much the right buy, country specific consumer insights. In some countries depending on the competitive environment, depending on what people use to drink, we see more fit for their malt based beverage, for more distilled based beverages, but this is something that can be adapted you know. We see it even here between Canada and the U.S. some beverages have different basis. It just has to do with some local habits and our belief that will be more successful if we take those into account. 
Laurent Grandet : Thanks Brito, and I wish you well for whatever will come next. Thanks bye. 
Carlos Brito: Thank you so much. Thank you very much. 
Operator: The next question comes from the line of Robert Ottenstein of Evercore.
Robert Ottenstein: Great! Thank you very much, and of course you know congratulations Lauren and Brito for great accomplishments and Brito for a phenomenal career and building an unbelievable company.  You know we are kind of long in the call now, so I was wondering maybe if you could reflect on your tenure as CEO and the two or three things perhaps that you are most proud of in terms of your accomplishments and that will really, you know put the company in very good position going forward, and maybe you know highlighting or accenting things that you don't think may be fully appreciated by investors along those lines, but you know are very important to you. Thank you. 
Carlos Brito: Thank you, Robert for the nice words and let me say that, I mean a couple of things. So first, [inaudible] platform. You know we build the principal company, a company that has principles, drinkable culture in good times, bad times, COVID, per-COVID, after COVID. We abide by those principles and that's what how we built the company, so I'm very proud of that. Second, my proudest moments in the company has been really to see our people develop, blossom and business develop. Another one Robert has been the consumer centricity. We always put consumers first, our customers first, quality of our products, doing the business the right way, no short cuts, that's connected to the culture as well, but always having consumers in mind and we grow, our consumers grow, because that's where the business is.  And I think the other thing is that we're very self-critical of ourselves. So in some years ago we saw that the world was going faster than we were going, we created ZX. ZX is investment in ventures that proved the right one in terms of B2B, B2C, in terms of crafts specialties. So they even did an amazing job with their teams, but there is doing BEES and [inaudible] so different people involved, but was all stated with ZX.  And when I look at our transformation agenda, that tells me something about our culture, you know. Sometimes that we are not perfect, sometimes we are behind the curve, but when we say we are going to do sometimes, we do it. And we said we are going to start getting the transformation agenda accelerated, that's exactly what we're doing. And today Robert, I will leave the company feeling that we are ahead of the curve. And that is, you know we have momentum and we're transforming the business.  So as [Audio Gap] having more hair than I do, so I mean you see physical and you know – and he’ll get along very well. He’s widely respected in the company. 25 years, led the three most important markets we have together with Mexico of course and Columbia and South Africa, and yes, it’s been a great ride and no regrets. 
Robert Ottenstein: Terrific! Thank you very much again. Congratulations to everybody and looking forward to seeing where Michel takes this company. Thank you. 
Carlos Brito: Thank you, Robert. And again thank you everybody. In summary, we remain focused on doing our part for the recovery through meaningful investments in local economies and by supporting the global vaccine rollout.  Our business is off to a very strong start in 2021. We delivered double digit balanced top line in EBITDA growth, given the context of ongoing COVID-19 related restrictions. Our industry leading portfolio of brands is connecting us with more consumers in more occasions as demonstrated by volumes ahead of 2019 levels.  We are solving real customer and consumer needs with our digital platforms, connecting us more closely to those we serve worldwide. As the world overcome COVID-19, our purpose of bringing people together for a better world is more relevant than ever.  Thank you for joining the call today and thank you for your partnership over the last 32 years. I wish you all the best. Stay safe and healthy, and thank you very much for your support and time. Have a great day! Thank you. 
Operator: Thank you. That does conclude the Anheuser-Busch InBev First Quarter 2021 Earnings Conference Call and Webcast. You may now disconnect your lines and have a wonderful day!